Operator: Hello, and welcome to the Clarivate Q1 2021 Earnings Release Conference Call. 
 [Operator Instructions] 
 Please note, today's event is being recorded. I'd now like to turn the call over to your host today, Mark Donohue. Mr. Donohue, please go ahead. 
Mark Donohue: Thank you, Keith, and good morning, everyone. Thank you for joining us for the Clarivate First Quarter 2021 Earnings Conference Call. With me today are Jerre Stead, Executive Chairman and Chief Executive Officer; Richard Hanks, Chief Financial Officer; Mukhtar Ahmed, President Science Group; Jeff Roy, President IP Group; and Gordon Samson, Head of APAC Strategy and Growth. All will be available to take your questions on conclusion of the prepared remarks. 
 As a reminder, this conference call is being recorded and webcast and is copyrighted property of Clarivate. Any rebroadcast of this information in whole or in part without prior written consent of Clarivate is prohibited. 
 This morning, Clarivate issued a press release announcing our financial results for the period ended March 31, 2021. The release as well an accompanying supplemental presentation is available in the Investor Relations section of the company's website, clarivate.com under Events and Presentations. 
 During our call, we may make certain forward-looking statements within the meaning of applicable securities laws. Such forward-looking statements involve known and unknown risks, uncertainties and other factors that may cause the actual results, performance or achievements of the business or developments in Clarivate's industry to differ materially from the anticipated results, performance achievements or developments expressed or implied by such forward-looking statements. Information about the factors could cause actual results to differ materially from anticipated results or performance can be found in Clarivate's filings with the SEC and on the company's website. 
 Our discussion will include non-GAAP measures or adjusted numbers, including adjusted revenue and adjusted EBITDA. Clarivate believes non-GAAP results are useful in order to enhance an understanding of our ongoing operating performance. But they are supplement to and should not be considered in isolation from or a substitute for GAAP financial measures. Reconciliations of these measures to GAAP measures are available in our earnings release and supplemental presentation on our website. After our prepared remarks, we'll open the call up to your questions. 
 And with that, it's a pleasure to turn the call over to Jerre. 
Jerre Stead: Thank you, Mark, and thanks to all of you for joining us this morning. We're off to a very, very good start in 2021. As expected, our organic revenue growth is improving following last year's challenges due to the pandemic. We're also benefiting from the many operational enhancements that we've been implementing across Clarivate and our acquired companies in the last 2 years. 
 We reported adjusted revenue for the first quarter of $432 million, an increase of 75% on a constant currency basis, driven by the acquisitions of DRG and CPA Global. Adjusted organic revenue at constant currency grew 7%, with subscription revenue increasing 6% and transactional revenue up 10%. This represents our best organic growth quarter since going public 2 years ago. 
 While we do expect some timing impacts on our quarterly organic revenue growth this year, our first quarter results demonstrate that we are absolutely on the pathway to achieving 6% to 8% organic growth exiting 2021. Adjusted EBITDA was $165 million, up 111%, and our adjusted EBITDA margin improved by 600 basis points to 38% compared to last year's first quarter. Today, we issued a Form 8-K and discussed in our earnings release the recent SEC position on accounting for warrants. The unfortunate timing of events made it impractical to finalize our full set of financial statements to meet our April 29 earnings date. We expect to issue our first quarter financial statements and file our Form 10-Q by May 10, which will show the noncash impact of the SEC's position on warrants. Importantly, and very, very importantly, the changes have no impact on our quarterly revenues, adjusted EBITDA or cash flow in this year's first quarter or in any prior period. 
 I'm very proud of the significant progress our team has made on the many operational improvement initiatives that are underway or have been completed. For example, we're well ahead of our schedule to integrate DRG, which is now complete. We're running 4 months ahead of plan with the more complex CPA Global integration. The accelerated progress has allowed us to capture cost synergies quicker and to get a jump start on mapping out revenue synergy opportunities as we begin to realize these sooner than originally expected. Our ability to accomplish such work following our move to a connected workplace whereby our colleagues are largely working remotely gives me great confidence that we have the internal resources in place to continue to pursue small and large-scale M&A opportunities. 
 Last year, we made the decision to permanently move a large percentage of our colleagues to a connected workplace following the success we experienced working in a virtual world. With this move comes cost savings, but also environmental benefits that we cover in our recently -- that we have covered in our recently released sustainability report. Our Connected Workplace Initiative has already led to the closing and downsizing of 35% of our global real estate footprint out of our total target reduction of 60%. Since opening our 3 global business centers, the commercial teams have been successfully moving customers to inside sales. 
 Our goal is to migrate 80% of our customers that generate approximately 20% of our revenue into these 3 centers. This frees up our outside sales team to focus their attention on the larger customers who are the engine room for our future growth as we increase our penetration in those accounts. We're on target to move 20% of our revenues into these 3 centers by the end of the second quarter. The change to our commercial operations will make it easier to do business with us, drive better experiences and help us delight our customers. By simplifying processes and approvals, we're even more efficient and quicker to respond to customer needs. 
 At Clarivate, we're building a world-leading organization centered around our core purpose. That is, we believe human ingenuity can transform the world. Our essential products and services play a very big and very important role in helping our customers discover, protect and commercialize innovation. The world's innovators need us like never before and accelerating ideas and innovation is not just our opportunity, but it's our responsibility. We will meet this responsibility when we bring all of our resources, talent and focus together as One Clarivate. 
 We recently launched One Clarivate, a critical shift in our strategy. We're transforming from being a collection of distinct market-leading products and services to becoming a key partner to our customers by delivering the critical data, insights and workflow solutions, coupled with deep, deep domain expertise that they need to drive their innovations and their businesses to help their customers with confidence. 
 This new approach means we're changing from product-centric organization to a customer-centric organization, starting with our commercial approach. We will be industry-focused rather than product focused and approach these industries from the outside in. We're now focusing our customer-facing activities on 5 global industries, or customer segments: life science and health care, professional services, academic and government, manufacturing and technology and consumer products. We look forward to sharing more information with you as we take the next step in building the world-leading information services company serving these very attractive end markets. 
 In 2020, we've made great progress on improving how customers view us, and we received actionable feedback. We exceeded our customer delight score in 2020. In 2 weeks, we will be launching our first customer delight survey of 2021. The survey is being sent to 50% of our customer contacts, which includes both end users and decision-makers. As part of our progress towards One Clarivate, we are including all of our acquisitions in this survey for the very first time. Our customer delight goal for this year is 77. we're very much looking forward to sharing the results of this year's surveys with you on future earnings calls. 
 Two weeks ago, we issued our first analyst sustainability report. I'm very pleased with the work our entire team did. This was a significant undertaking, and our team produced an extensive report on our 2020 progress and our 2021 and future goals. 
 In the report, you'll find information covering what we've done, what we are doing and what we will do for our environment, government -- governance, colleagues and community. We hope you'll take the time to visit our website and read through the report. Sustainability is at the very center of our goals. We look forward to sharing that progress with you in the years ahead. 
 Now turning to our 2021 outlook. We're tightening our revenue and adjusted EBITDA guidance because of our strong start. Adjusted revenue guidance is now $1.79 billion to $1.84 billion, and adjusted EBITDA is now $790 million to $825 million. There's no change to adjusted free cash flow of $450 million to $500 million. Once we file our Form 10-Q for the first quarter, we will reissue our adjusted EPS guidance for 2021. I'll now turn the call over to Richard. 
Richard Hanks: Thank you, Jerry. We are very pleased to see the economic recovery playing out, as evidenced by our strong first quarter. I will review many of the key financial metrics but won't cover net income, earnings per share, debt ratios or standalone adjusted EBITDA as I would normally do so as a result of the pending noncash adjustments relating to the accounting for warrants, which, as Jerre mentioned earlier, has no impact on the operational performance of the company. 
 For the first quarter of 2021, adjusted revenues were $432 million, an increase of $189 million or 75% at constant currency compared to last year's same period. Excluding Techstreet, which we divested in early November 2020, adjusted revenue increased 81% at constant currency. The drivers of the growth were last year's acquisitions of DRG and CPA Global and an increase in organic revenue, partially offset by the Techstreet disposal. The foreign exchange impact on first quarter revenue was a positive 3.3% due to dollar weakness compared to last year's first quarter. And as Jerre mentioned, the strong start to the year has allowed us to bring up the low end of both, our 2021 revenue outlook by $10 million and our adjusted EBITDA outlook by $5 million. 
 Adjusted organic revenue growth was 7% at constant currency. Subscription revenue was $235 million, an increase of 19% at constant currency, driven by acquisitions and organic growth, partially offset by divested products. Organic subscription revenue growth was 6%, or $12 million at constant currency due to a favorable subscription entry rate, pricing and timing benefits from tighter operating procedures, enabling us to reduce overdue renewals by 85% compared to last year's first quarter. 
 The subscription revenue renewal rate at the end of the first quarter was 93%, in line with the 93% for the prior year period, but importantly, we have renewed a larger percentage of the book at the end of this year's first quarter as compared to prior year. Transactional revenue was $84 million, an increase of 68% year-on-year at constant currency, primarily driven by acquisitions and organic growth. Organic transactional revenues increased by $6 million or 10% at constant currency due to strength in our professional services businesses, including strong performances from DRG, and an increase in trademark search volumes in CompuMark. We continue to see a nice recovery in this segment of our business following the impact from COVID last year. 
 Reoccurring revenue, which is derived from the CPA Global patent renewals business, was $112 million in the first quarter, with no figure for the comparative period. Subscription plus reoccurring revenue accounted for 80% of adjusted revenues in the first quarter, demonstrating our highly predictable revenue model. ACV growth at constant currency was 11% for the first quarter as compared to the same prior year period, which includes acquisitions. Excluding divestitures, ACV growth was up 16%, while on an ongoing basis, ACV increased by 6% period-to-period, consistent with the 6% growth in organic subscription revenue growth all on a constant currency basis. 
 Turning to the business segments. Organic revenue growth within the Science Group increased by 10%, driven by new business, growth at DRG, which annualized into organic growth from March 2021 and tighter operating procedures, resulting in lower overdue renewals, which added to organic subscription revenue growth. For the IP Group, organic revenue increased by 2% on a constant currency basis, primarily due to an increase in subscription revenue, driven by content upgrades and better price realization as well as growth in transactional revenue due to improved transactional volumes. 
 Geographically, organic revenue growth was 7% at constant currency across each individual region, the Americas, EMEA and Asia Pacific. This reflects nicely the balanced recovery of our businesses following the challenges in 2020. 
 We delivered strong adjusted EBITDA growth in the first quarter, increasing by $87 million to $165 million, more than doubling as compared to the prior year period. This was driven by contributions from acquisitions and organic top line growth, strong margin flow through and the benefit of the cost savings initiatives. Adjusted EBITDA margin improved by 600 basis points to 38% from the same period prior year. 
 Per our 2021 outlook, we expect to see a sequential improvement in our margins throughout the year as we progress towards a 44% to 45% full year margin for 2021. Cash taxes in the first quarter were $3 million compared to $5 million in the prior year period. Capital expenditures in the first quarter were $33 million, an increase of $14 million over last year's first quarter, primarily due to the addition of DRG and CPA Global. 
 For the first quarter, adjusted free cash flow was $163 million, an increase of $85 million, more than doubling as compared to the prior year period, driven by the strong operating results and an improvement in working capital. We ended the March 31 Q1 2021 period with $399 million in cash and cash equivalents, an increase of $141 million from the year-end 2020. This was due to contributions from earnings and ever tighter working capital management. Our total debt is $3.5 billion, and decreased by $7 million from year-end 2020. 
 With that, I'll now turn the call back to Jerre. 
Jerre Stead: Thanks very much, Richard. Before we open up the line for questions, I want to thank all of our colleagues around the world who continue to go above and beyond every day. The COVID pandemic is still prevalent. We continue to monitor all of our colleagues in locations around the world. Our colleagues in India have been experiencing a strong resurgence of the virus, and we're supporting them in all ways possible. We're now ready to take your questions. 
 [Operator Instructions] Operator? 
Operator: [Operator Instructions] And the first question comes from George Tong with Goldman Sachs. 
Keen Fai Tong: Organic constant currency revenue growth -- organic constant currency revenue growth accelerated to 7% in the quarter from 2.4% in 4Q. Can you elaborate on what drove the significant acceleration in growth? And if there were any unusual onetime benefits to organic growth? 
Jerre Stead: No, I'll be happy to. Great question, George. I'll start. Richard will pick up. As I said in my script that we're enjoying the results of an enormous amount of hard work across the board with our teams. When we went public 2 years ago, we had a ton of defects, much of that's been fixed with more to come. We focused on cost savings. And in fact, we've taken out almost $200 million from where we were at, including our acquisitions. So we got that, if you just go back and look, up significantly on the EBITDA standpoint, and that will continue, as Richard said, as we go through 2021, closing at 44% to 45% total adjusted EBITDA in 2021. At the same time, we're rebuilding everything. 
 Just a quick reminder, in early 2019 was the first time we put the teams, sales teams together inside of the 2 businesses, that Jeff Roy did such a great job of leading. We also started in 2020, what I talked about on the move to inside sales, with much more of that to come in the years -- months and years ahead. We went after an enormous amount of things. We changed commission programs. We did an enormous amount of training. We refocused our field sales organization. We helped those not performing well to find positions elsewhere, and we've been working on pricing our realization. So it's a combination of a lot of great work. And a lot of that process improvement is in place and will continue to be in the 2021. Richard, just pick up on the piece, was there any onetime as a simple answer, please? 
Richard Hanks: Yes, nothing onetime. We executed very well in the first quarter, particularly with subscription renewals, 93% renewal rate, but we renewed more of the book as compared to, as I said in my script, last year. And transactional growth, 10% in Q1 as compared to 6% in Q4 last year. So we're seeing sequential quarterly improvements in transactional volumes. And I think that bodes well for the rest of the year for Q2 and Q3 and Q4, rest of year. 
Jerre Stead: I'd just add one more thing. It's so important that we do a good job of communicating this. As we flow through the year, it's important to look at our organic growth first half, second half. As I said in my script that we expect the high degree of confidence to exit with organic growth in the 6% to 8%, which will include our acquisitions in the fourth quarter and have a high degree of confidence in that happening. At the same time, as we look through first half, second half, we gave the guidance on our last call of about 48% revenue first half, 52% second half. So I just couldn't feel better about where we're at. 
 The things we've laid out, we're executing. The things that we laid out in the 2 slides saying  that they are actually available now on our website that says, here's all the things we're going to do to become much more productive and much better on the EBITDA and free cash flow standpoint. And then we said, here's all the [ things ] up to the right, which is how we're going to get through organic growth in total revenue. So I feel really good about it. Thanks for the question, George. 
Operator: And that comes from Toni Kaplan with Morgan Stanley. 
Toni Kaplan: Wanted to ask about if you could give us an update on how fast DRG and CPA grew in the quarter. I know DRG was a little bit lighter last year. So I wanted to understand if it's making progress towards the low double-digit that you're expecting for this year. And just how those are coming? 
Jerre Stead: No, great question, Toni. Richard pick it up separate DRG and also CPA. I'll just preface it with, Toni, that the facts are it hit exactly where we expected it to, both of them in Q1. Only 1 month, March of Q1 was included for organic growth with DRG, but just couldn't be happier with both. Richard? 
Richard Hanks: Yes, we're -- in terms of the DRG acquisition end of February last year, we're frankly delighted with the performance of the business in the first quarter. But more importantly, the outlook for rest of the year. The market is growing at 12% per annum. And our expectations are that we will grow at the double-digit rates this year, which the company delivered in 2019 pre-acquisition. Obviously, there was some impact from COVID last year, but the business is performing very well. And importantly, our optics into the rest of the year are favorable. 
 In the case of CPA, performing in accordance with plan. As we have said in previous disclosures, this business will grow 6% to 7% per annum due to natural tailwinds from patent renewal book increases. And we're delighted with the integration of the business into Clarivate. We're ahead of plan on our cost savings program and the business is tracking well. 
Operator: And that comes from a Manav Patnaik from Barclays. 
Manav Patnaik: Let me ask the first question in a different way. The 10% growth in science was clearly above what we thought. And I think what you had guided us to. So maybe one-time is not the right way to ask the question, but perhaps it's timing. And if you could just help us what the cadence for the growth in the next quarter should be otherwise, like I don't think we should be modeling 10% for the rest of the year. So maybe you can just help us there. 
Jerre Stead: I'll start with that, and then I'll have Mukhtar pickup on it. Great question Manav, and then Richard will close off on it. When I said that we would think about organic growth first half, second half. That's a great way to think about it. I'm delighted with what Mukhtar and team have done. And, Mukhtar, just give him color, and then Richard will close it off because it's a very appropriate question. Just as a reminder, we said we'd do 6% to 6.5% all in organic for all of 2021. We're a bit ahead of that, that's why we raised the guidance from the bottom a bit on revenue, but pick it up, please, Mukhtar. 
Mukhtar Ahmed: Yes, of course, Jerre. In summary, we've executed on all of our product plans. A lot of precision around commercial focus and go to market. And those are the reasons why we've enjoyed the growth that we've reported today. And the bulk of that is in subscription and reoccurring revenue. And we very much expect that to continue. 
Jerre Stead: Thanks. And, Richard, close this off because it's a critical question. 
Richard Hanks: Yes. As Jerre said, I think what's really important is the revenue profile, 48% H1, 52% H2. So I think that's what -- in terms of the models, that's what you should be using. And in terms of subscription revenues, firstly, definitely, great execution in the first quarter as we renewed the book. And most importantly, overdue renewals were ground down significantly in the first quarter compared to last year. Last year was definitely affected by COVID. We just couldn't get some contracts over the line and rev rec in Q1. 
 We picked those up in Q2 last year. So business is tracking well. Transactional growth, as I said, sequential quarterly improvements Q4 coming into Q1. And when we look across the different transactional revenue streams, whether that's professional services, particularly in the Sciences Group and IP search volumes in Jeff's segment, our prognosis is that the markets continue to thaw and improve. And we're confident in execution rest of the year. 
Jerre Stead: And I'd just add 2 quick things, Manav. As we said, 93%, a 2% increase in retention with more to come, particularly as we see us executing on inside sales in the quarters ahead. And then the price realization. As a reminder to everybody, just over 50% of our annual subscription base comes up in Q1. Another 20% plus in Q2. So stay tuned with us. But a great start. As Richard said, apples to apples first half, you'll see the pieces that we didn't get done in Q1 last year shows up in Q2. And so, Manav, it's a great question. I wish I could tell everybody that we'll continue to grow at 10% organic in Science, and Mukhtar will do his best to do that. But think about it as part of an all-in 6% to 6.5% organic growth for the year and a strong expectation to execute for, which will be the first quarter that CPA is also organic at the 68%. 
Operator: That comes from Andrew Nicholas from William Blair. 
Andrew Nicholas: Just wanted to ask a higher-level question on the sales environment and the pipeline broadly. Obviously, last year, presented a unique challenge so I'm wondering how you'd characterize clients receptiveness to the product lineup right now, appetite for upsell, client budgets, things of that nature. And compare that to pre-pandemic levels to the extent that's possible. I mean, are we back to a more normalized environment in your view? And if not, how are you thinking about the recovery time line in that sense? I know Richard, in response to one of the earlier questions, mentioned a little bit of a thawing of the end market. So any more color there would be really helpful. 
Jerre Stead: Yes. Great. I'll start. Jeff will pick up and then Mukhtar. I think we're moving towards a more normal, making great progress in the world markets. Certainly, life science is an example, and Richard said, growing at 12% to 13% worldwide. So I think we're closer by far than we were even at the end of Q4. I think we'll see Q3 and Q4, assuming no new surprises in the pandemic, increase to an even more bullish global market. So pick up, Jeff, and then, Mukhtar, on the backlog in the quote question, [indiscernible]  a really good one. 
Jeff Roy: Yes, sure. Thanks, Jerry. I think the sales -- the appetite for upsell and the budget constraints from customers really hasn't been there. I mean, I think we put together compelling packages since bringing these businesses together last year. I think customers have reacted incredibly well to that. I mean, we've always planned for recovery in the IP market to really start to show up later in the second half. So we feel like we're on track, and the market is performing exactly the way we expected. 
Jerre Stead: Thanks. Mukhtar? 
Mukhtar Ahmed: Yes. Maybe just to start with a perspective on the industry. If we look at the industries we operate in post-pandemic, it's probably true to say that the rate of digitized information, the impact that information has to research in particular, I mean that demand, we expect that to grow. We already have very long-standing relationships with our customers. And naturally, what we worked hard to do last year was to deliver on those commitments. And we'll continue to do so. And that allows us to enjoy long-term relationships with our existing customers. 
 But as that post-pandemic world unfolds, any of the industries that we're deep in, I think we're really strongly poised here to serve them just by virtue of our wonderful assets, the evolution of our products to meet the needs of our customers. And also just to engage in our customers in a different way with high-touch through our inside sales approach. And I think all of that will lend well certainly to certainly our growth plans. 
Jerre Stead: Thanks, Mukhtar. Gordon, I'm going to ask you to just add a little color on the Asia Pacific region, which is historically our fastest-growing a particular focus on China Japan and Korea. 
Gordon Samson: Sure. Thanks, Jerre. Just a couple of quick comments to add to Jeff and Mukhtar's summary. I think we've had an opportunity to look at the white space that exists across the product portfolio in a deeper way since bringing CPA and then obviously, DRG just before that into the family. What we're seeing is that, to Jeff's point, the appetite to cross and upsell and the ability to explain solutions to customers, so taking that customer-centric approach is beginning to demonstrate that there is appetite in the market. 
 One final comment. We also see, particularly in China and in South Korea, industry being focused on. So governments and institutions not promoting innovation, but being very specific around which industry verticals and which subsegments in those they're putting their dollars behind, which plays nicely into our move into the One Clarivate industry vertical model. So what we're seeing the opportunity coming forward. 
Jerre Stead: And stay tuned for more of that to come. Thanks, team. Next question, please. 
Operator: That comes from Hamzah Mazari from Jefferies. 
Mario Cortellacci: This is Mario Cortellacci filling in for Hamzah. My question is around your 2023 targets. I think aside from the tuck-ins that you're going to do, it also contemplates 2 chunkier deals. I just wanted to know what your line of sight is to those larger deals this year or next year? And then are you the buyer of choice for these companies? 
Jerre Stead: Great question. What we always tried to do is patience, persistence and preferred. I would say that the line of sight to larger acquisitions is pretty clear, again, patience and persistence. I mentioned in my script, how good I feel, the whole team does about our ability to execute integration. We get better with that every day, including the internal integration that we continue to operate on from a process standpoint. So that feels good. Tuck-ins are there. We'll continue to work on those, and we'll stay, as I said, patient and persistent. But when we exit 2023 with $2.8 billion to a $3 billion personal goal I laid out and the appropriate EBITDA and free cash flow that would complement that, we'll be able to look back, I think, and say, yes, we were preferred, we did deliver, and those goals become a reality. Thanks for the question. 
Operator: The next question comes from Ashwin Shirvaikar from Citi. 
Ashwin Shirvaikar: It's a good quarter versus expectations. I wanted to ask, if I can, about expenses and cash flow, which also did well. Could you provide a framework? Is the same first half/second half framework a good one to follow for expenses and cash flow? And then the phasing in of expense normalization coming out of COVID, if you could provide what the assumption was for nonpermanent savings in anyone? 
Jerre Stead: Yes. No, Richard, you pick this up in just a second, a couple of comments on it. As I said, I'm really pleased with the effort underway that continues to execute well ahead of plan at both DRG and CPA. We'll exit 2021 with something over $200 million in savings. As we go into 2022, we'll realize all of that as we -- because of what we're doing in 2021. But it's a great question. An enormous amount of operational improvement every place, including tightening the way we operate with our customers on cash collection. Richard, please. 
Richard Hanks: So what you should expect, what you will see in the remaining quarters of the year is the benefit from the continued integration of CPA Global into Clarivate and the cost removal, whereby we gave the commitment at the time of the transaction to execute $75 million of savings on a run rate basis by the end of this year. So you'll start to see the benefit of those programs coming through our actual expenses quarter-over-quarter. So you'll see continued good expense management Q2 through Q4. 
 In terms of cash flow, I would say this, I'd bifurcate the business between the legacy Clarivate business, including DRG and the CPA Global business. With respect to the former, the legacy Clarivate and DRG business, we do have -- our cash flow tends to be -- our cash flow historically has been stronger in Q1 and strongest in Q4, with Q2 and Q3 being a bit lighter than Q1. In the case of CPA, it's a more even distribution of cash flow quarter-to-quarter and particularly the H1 to H2. So $163 million of adjusted free cash flow in Q1, enjoying receipts from the renewal of the books during Q1. And then we see that pick up in the fourth quarter as well associated with renewals. So that's the general pattern, but we're nicely on track to executing and delivering against the guidance of $450 million to $500 million of adjusted free cash flow for the year. 
Operator: That comes from so Shlomo Rosenbaum from Stifel. 
Shlomo Rosenbaum: Jerry, if you don't mind, I want to ask you a question and then ask kind of a guidance clarification. So I'm going to ask you to let me squeeze in 2, even though it's against your rules. 
 Okay. The question I have really is, I'm looking at like 10% transactional growth year-over-year on an organic basis, which was really strong. I usually think of the transactional growth coming more in the IP segment. And IP really grew more at the low single digits of strong strength in the science segment. I was just wondering if you can just kind of explain what drove the transactional business. Is there any change in how that's coming about and how we should think about it? And then afterwards, I'd like to just go for a clarification for everyone's benefit in terms of the guidance. 
Jerre Stead: Happy to. We'll start with Jeff and then Mukhtar. Actually, there's a lot of growth going on and professional services in the science group area that is, of course, transactional and some of DRG's rapidly growing business is there, too. But start with Jeff because you'll see the best leading indicator of the economic worldwide is some of Jeff's transactional business. 
Jeff Roy: Yes. Thanks, Jerre, hey Shlomo. I would say that on the IP services side, which is where the transactional revenue sits within IPG, we've seen pretty solid growth, particularly around trademark and patent searching. And we've seen it across the globe. I would say in North America, on a year-over-year basis, we had a really strong quarter in 2020. So on a year-over-year basis, you don't see the same growth that we've seen in Asia-Pac and in the European regions. That was offset a little bit by European patent validation volumes. 
 And what you have to understand is, EP -- there was a backlog with the EPO from roughly 2016 through the end of 2020. This is in the CPA business. And that is normalizing right now in Q1, and we expect it to normalize in Q2. So that does impact the number. But the strength in services, it's tremendous. There's been an uptick across the board, like I said, in patents and trademarks in our analytics business. So we're very encouraged by what we expect the rest of the year to look like. 
Jerre Stead: Thanks, Jeff. Mukhtar? 
Mukhtar Ahmed: Yes. So starting off with our consulting, professional services, we did see some tremendous growth there in Q1. Which are certainly contributed to the numbers you've seen. One thing I do want to point out, though, with our consulting services, remember, they're positioned ultimately to pull through our products and our solutions over time. So there's a causal effect there, where eventually, over time, we drive more traction in the accounts that we operate in and, ultimately, customers then consume more of our products and our data solutions. 
 So that's how we position our consulting services, and we've seen really, really good traction there. The second area is really around some of the products that we launched last year, what we're starting to see signs of a greater rate of customer adoption and product adoption in the markets that we operate in. That's starting to come through right across all of our product lines and in particular, within our DRG business. 
Jerre Stead: Thanks, Mukhtar, just couldn't be better. Someday, I'll have you give, Mukhtar, your history of what you do do over time with pull-through of subscription basin, particularly life science. But Part 1b, Shlomo, please. 
Shlomo Rosenbaum: Yes. So thank you. Just with the strong growth in organic growth and some of the commentary about 1Q '20, there was some slippage in terms of renewals that went to 2Q '20 is it fair to assume that we should see the organic growth take a step down from a tougher comp in 2Q? And just if you can help us with kind of the cadence and how to think about that? 
Jerre Stead: Sorry. Can you hear me? Okay. Great question. Richard pick it up because it's a great question, Shlomo. I'd just say, again, the lighting -- the leading light for our future is what Richard said on what we reported with the 6% increase. But Richard, please. 
Richard Hanks: Sure. So you're right, Shlomo. There were definitely some lift in the first quarter compared to prior year comps because, as I said earlier, there were some contracts that we just weren't able to get over the line at the end of Q1 last year because we're in the teeth of COVID and everybody was adapting to this changing environment. And those were picked up in Q2. So we will be up against a slightly tougher comp on subscription revenue in the second quarter. And so think what's key there is looking at the half year, our overall subscription growth, I think that will give a more normalized number. So obviously, we'll be concentrating on that in our Q2 earnings call. 
 On transactional organic growth, as I said, 6% growth Q4 last year, a recovery from Q2 and Q3, where we saw 13% and 16% organic decline because of COVID, 10% growth in Q1. And as we're sort of demonstrating, the markets are thawing, we're seeing improvements across the product lines, whether it's professional services, trademark search volumes, IP professional services all within organic growth, custom data sales. So that will obviously help us in our overall organic growth number for Q2. 
Jerre Stead: Yes. And I think great questions, Shlomo. 
Operator: It comes from Zach Cummins with B. Riley Securities. 
Zach Cummins: Jerre, could you talk about the migration that's currently undergoing with your customer accounts to your inside sales teams. I'm just wondering how you're tracking versus your internal expectations. And if that could potentially have any kind of positive impact to retention rates in this year? Or is that more of a 2022 initiative? 
Jerre Stead: Yes. No, it's a great question. We're on track to be, at the end of Q2, have at least 20% of our total revenue, which would include DRG and Clarivate as well as CPA on inside sales. Feel good about that. Early indications, there -- it's not a trend yet because it's too early. But the renewals after transfer of the smaller customers today to inside sales is very positive. So I feel good about that. What I do -- it's a great question because what I'd be thinking about is, we do expect to see, particularly in the fourth quarter, a pickup because of that because a lot of the transfers of those customers with annual subscription base is smaller ones will be coming up due in Q1. So we'll see a pretty good test, I think, with the Q4 inside sales. We've been really pleased with the talent that we've hired and the training that's going on. So feel really good about it despite the pandemic and we look forward to going into 2022 with even more of our total customers on inside sales. So thanks. Great question. 
Operator: [Operator Instructions] And our next question comes from Pete Christiansen with Citi. 
Peter Christiansen: Jerre, it might be a little early to ask this question. But after closing with CPA last quarter or the quarter before, but is there any sense that -- at least on the IT side, that the competitive -- your competitive win rate is improving? Any sense of market share gains now that you've built a much larger IP solution set? 
Jerre Stead: That's a great question. I'll start. Thanks, Jeff will pick up. The answer is, we went after scale. We now have scale. We're about $1 billion business. Next closest competitor is about $250 million. I will say there's more activity going on with competitors trying to figure out how to partner with us -- with each other to compete with us, which is about what we expected. In fact, Jeff and I had talked about that way back when, but give some color because it's a great question. 
Jeff Roy: Yes. Thanks, Jerre. Thanks, Pete. So we're feeling pretty good that we've been able to integrate the business very, very quickly, both on the product side and on the sales organization. They've come together very, very nicely. What we are seeing in the market is pretty wide acceptance to the broader-based solution set that we have. We've spent the first quarter of the year here, really working on creating packages, like I said before, very compelling to our customers. They reacted very well to those. We have a hybrid cloud solution that we're leveraging to protect customers' investments that they've made previously in some of the software solutions that they bought from CPA, and this is enabling us to more quickly bring data and applications and even some of our services together into an integrated offering. 
 And what that's allowing us to do, which no one else can do in the market, is really allow customers to start to be able to configure their life cycle, their innovation life cycle in a way that works for their business within their market segment. So we've seen really good market acceptance. I don't have numbers that I would be willing to talk about here, but I mean, really nice market acceptance overall, and we feel pretty good about the year and what's coming into the share next. 
Jerre Stead: And Jeff, just give a tiny preview on some of the new opportunities we see in expanding our existing market and some of the work you're doing on that as we close. 
Jeff Roy: Yes. Thanks, Jerre. And some of the things we've been working on last year, we talked a little bit about decontainerizing some of the data that was locked up within the legacy platforms within Clarivate. We spent the last year really decoupling the content from those legacy applications, and this has created what we call internally IP cloud, and this gives us the ability to bring data together to help our customers find answers to questions much more quickly without having to work through some of the platforms. We're focusing on 2 sort of areas, some areas around bringing solutions and data lakes around specific technologies like 5G. 
 We're also focusing on specific industries and roles like polymer chemists, for example. We can get answers to our questions much, much faster by bringing more data together in a more integrated fashion without asking nontraditional users to leverage an application that was designed for an IP practitioner. So we feel really good about what we're doing. I'd love -- always love it to go faster than it has been. But to Jerre's point, data solutions that we're putting together and the ability to allow our customers to access our solutions more seamlessly are the 2 focus areas for the IP group this year. 
Jerre Stead: Thanks, Jeff. And I'm going to close just thanking, everybody, if you think about what Mukhtar was delivering last year in Q3 '18, '19 new products, Jeff is doing the same, plus some. Just couldn't be happier, couldn't be more proud or more pleased of our team. We're on track to do what we've said we're going to do. And we look forward to doing our best to provide great returns to our shareowners for years to come. Thank you all very much. And with that, operator, we're done. 
Operator: All right. Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.